Operator: Good day everyone, and welcome to the First Financial Bancorp First Quarter 2019 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions and please note that today's event is being recorded. I'd now like to turn the conference over to Scott Crawley, Corporate Controller. Please go ahead.
Scott Crawley: Thank you, William. Good morning, everyone, and thank you for joining us on today's conference call to discuss First Financial Bancorp's first quarter 2019 financial results. Participating on today's call will be Claude Davis, Executive Chairman; Archie Brown, President and Chief Executive Officer; Jamie Anderson, Chief Financial Officer; Tony Stollings, EVP, Commercial Banking; and Bill Harrod, Chief Credit Officer. Both the press release we issued yesterday and the accompanying slide presentation are available on our website at www.bankatfirst.com under the Investor Relations section. We will make references to the slides contained in the accompanying presentation during today's call. Additionally, please refer to the forward-looking statement disclosure contained in the first quarter 2019 earnings release, as well as our SEC filings for a full discussion of the Company's risk factors. The information we provide today is accurate as of March 31st, 2019, and we will not be updating any forward-looking statements to reflect facts or circumstances after this call. I will now turn the call over to Archie Brown.
Archie Brown: Thank you, Scott. Good morning, and thank you for joining us on today's call. Yesterday afternoon, we announced our financial results for the first quarter. Before I turn the call over to Jamie to discuss those results in greater detail, I would like to say a few words regarding our performance. For the quarter, we achieved adjusted earnings of $0.48 per share or 1.38% return on average assets, 16.45% return on average tangible common equity, and also achieved a sub 52% efficiency ratio when adjusted to remove merger-related items. These measures reflect the $0.08 per share after tax impact from the credit loss in our franchise lending portfolio. Aside from the credit loss, we're pleased with our overall performance, which marks our 114th consecutive quarter of profitability. Our results reflect continued increases in loan origination activity across our commercial – and investment and commercial real estate business lines, stable net interest margin and disciplined expense management. Core banking trends continue to be positive and loan origination activity generally new commitments increased to its highest level since the merger. However, growth in our loan portfolio was offset by continued payoff headwinds within our commercial construction portfolio. We were also pleased with modest deposit growth during the quarter, as increases in time deposit offset seasonal declines with our business and public fund clients. Our core net interest margin remained strong despite the decline in purchase loan accretion and the loan prepayment fee volatility that we often see in our commercial finance unit. The decline in other fee income categories reflects seasonally low trends that negatively impact deposit service charge and bank card revenues. Our sub 52% efficiency ratio continues to be a bright spot, although we saw modest expense increase during the quarter when adjusted for merger-related items, largely driven by seasonally high personnel benefits and occupancy expense. In response to the previously disclosed franchise loss, we've added Slide 14 to our presentation. We have a 10 year history in the business of lending to quick-serve restaurant franchisees within well [ph] regarded national brand concepts in the contiguous 48 states. Financing the proven operators with appropriate capitalization is for three primary purposes: development of new stores; remodeling of existing stores; and acquisition. Our dedicated team of sales, underwriting and servicing experts has extensive experience and in-depth knowledge with the specialty lending space. Our management team follows a disciplined process for overall concept reviews, annual reviews of each borrower and ongoing monitoring of the financial performance and sales trends. Franchise portfolio is quite granular with an average relationship size of $3.4 million, with our large exposure being $17.5 million. $518 million of the total $540 million portfolio is internally rated as past [ph]. With $6.8 million of the sub-standard non-accrual classification being recently incurred charge-off, with another $5.3 million expected to pay off in the third quarter. The remaining $9.4 million rated as special mentioned is isolated to three different relationships across three different concepts. While we are disappointed with the specific loss reported for the quarter, our overall outlook for credit remains stable, as our underlying markets remain healthy providing continued [ph] opportunities for growth. With that, I'll now turn the call over to Jamie to discuss further details of our first quarter results. And then after Jamie's discussion, I'll wrap up with some forward-looking commentary and closing remarks.
Jamie Anderson: Thank you, Archie and good morning everyone. Slides three and four provide a summary of our first quarter 2019 performance. Given the large credit loss results did not reflect our usual standard. However, we were pleased with our overall performance including a strong net interest margin, our ability to effectively manage expenses. Our profitability metrics remain solid and above the meeting of our peer group even with the elevated provision expense related to the franchise charge off. On slide five we've provided a reconciliation of our GAAP earnings to adjusted earnings highlighting items that we believe are important to understanding our quarterly performance. For the first quarter adjusted net income was $47.3 million or$0.48 per share which primarily excludes merger related costs. As showed on slide six, these adjusted earnings equate to return on average assets of 1.38% and a return on average tangible common equity of 16.5%. Further our 51.7% adjusted efficiency ratio reflects continued diligence and managing expenses subsequent to the merger. Turning to slide seven, net interest margin on a fully tax equivalent basis declined 11 basis points in the first quarter to 4.10%. The decline was primarily driven by fewer loan fees and an expected decline in purchase accounting accretion during the period. Basic net interest margin was flat compared to the length quarter as the positive impact on asset yields was offset by higher funding costs and changes in both asset and funding mix during the quarter. As shown on slide 8, the yield on securities increased 14 basis points meeting the impact from a 4 basis point decline in loan yields and a 10 basis point increase in our cost of deposits. The decline in loan yields was driven by fewer loan fees and lower purchase accounting accretion. Similar to the fourth quarter end of period securities balances rose in response to slower loan growth as we continued to manage the size and composition of the investment portfolio relative to overall balance sheet trends. Slide 9, depicts our current loan mix and balance sheet shifts and balance shifts compared to the linked quarter. End of period loan balances were relatively unchanged as increases in ICRE and mortgage loans were offset by declines in CNI and small business banking. However, we remain optimistic regarding future growth potentials as loan origination activity increased 8% over the length quarter surpassing our previous post-merger highs. Slide 10, shows the mix of our deposit base as well as a progression of average deposits from year end. Average deposit balance increased by $18 million as retail and brokerage CD growth outpaced seasonal declines in public funds and business DDA but we are confident on our ability to manage deposit pricing over time. We do anticipate some competitive headwinds which can negatively impact net interest margin in the near term. Slide 11, depicts our asset quality trends for the last five quarters. As Archie previously mentioned credit quality metrics were negatively impacted by the isolated franchise charge off resulting in net charge-offs of 64 basis points as a percentage of total loans. Given the isolated nature of the franchise charge off and flat loan balances, the loan loss reserve was flat compared to the fourth quarter both in dollars and as a percentage of loans while provision expense was sufficient to cover net charge offs. Finally, as shown on slide 12 and 13 capital ratios continued to expand during the period and remain in excess of our stated targets. Well, we were not actively repurchasing shares during the quarter we will continue to evaluate capital strategies and deployment opportunities that support the company's planned growth while delivering appropriate shareholder returns. I'll now turn it over to Archie for some comments on our performance since the merger and second quarter outlook.
Archie Brown: Thank you, Archie, and good morning, everyone. Slides 3 and 4. provide a summary of our first quarter 2019 performance. Given the large credit loss, results did not reflect our usual standard. However, we were pleased with our overall performance, including a strong net interest margin and our ability to effectively manage expenses. Our profitability metrics remained solid and above the median of our peer group, even with the elevated provision expense related to the franchise charge-off On Slide 5, we provided a reconciliation of our GAAP earnings to adjusted earnings highlighting items that we believe are important to understanding our quarterly performance. For the first quarter, adjusted net income was $47.3 million or $0.48 per share, which primarily excludes merger-related costs. As shown on Slide 6, these adjusted earnings equate to a return on average assets of 1.38% and a return on average tangible common equity of 16.5%. Further, our 51.7% adjusted efficiency ratio reflects continued diligence in managing expenses subsequent to the merger. Turning to Slide 7, net interest margin on a fully tax equivalent basis declined 11 basis points in the first quarter to 4% – to 4.10%. The decline was primarily driven by fewer loan fees and an expected decline in purchase accounting accretion during the period. Basic net interest margin was flat compared to the linked quarter, as the positive impact on asset yields was offset by higher funding costs and changes in both asset and funding mix during the quarter. As shown on Slide 8, the yield on securities increased 14 basis point meeting the impact from a 4 basis point decline in loan yields and a 10 basis point increase in our cost of deposit. The decline in loan yields was driven by fewer loan fees and lower purchase accounting accretion. Similar to the fourth quarter, end of period securities balances rose in response to slower loan growth, as we continue to manage the size and composition of the investment portfolio, relative to overall balance sheet trends. Slide 9, depicts our current loan mix and balance sheet shifts – and balance shifts compared to the linked quarter. End of period loan balances were relatively unchanged, as increases in ICRE and mortgage loans were offset by declines in C&I and small business banking. However, we remain optimistic regarding future growth potential, as loan origination activity increased 8% over the linked quarter, surpassing our previous post merger highs. Slide 10 shows, the mix of our deposit base, as well as the progression of average deposits from year-end. Average deposit balance – average deposit balances increased by $18 million, as retail and brokered CD growth outpaced seasonal declines in public funds and business DDA. But we are confident in our – in our ability to manage deposit pricing over time. We do anticipate some competitive headwinds, which could net – negative – negatively impact net interest margin in the near term. Slide 11, depicts our asset quality trends for the last five quarters. As Archie previously mentioned, credit quality metrics were negatively impacted by the isolated franchise charge-off, resulting in net charge-offs of 64 basis points, as a percentage of total loans. Given the isolated nature of the franchise charge-off and flat loan balances, the loan loss reserve was flat compared to the fourth quarter, both in dollars and as a percentage of loans. While provision expense was sufficient to cover net charge-offs. Finally, as shown on Slides 12 and 13, capital ratios continue to expand during the period and remain in excess of our stated targets. While we were not actively repurchasing shares during the quarter, we will continue to evaluate capital strategies and deployment opportunities that support the Company's planned growth, while delivering appropriate shareholder returns. I'll now turn it back over to Archie for some comments on our performance since the merger and second quarter outlook. Archie M. Brown, Jr. – President and Chief Executive Officer Thank you, Jamie. Before move into the forward-looking commentary, I want to recognize our first anniversary as a combined Company and take a brief moment to review the merger successes that we've achieved to-date. As seen on Slide 15, our performance since the merger has been exceptional, resulting in a 1.58% return on average assets and nearly 20% return on tangible common equity and a 51% efficiency ratio when adjusted to remove merger-related and non-operating items. The earnings power of our high performing company has enabled us to build significant capital with $1.1 billion in tangible common equity. Total capital levels of $140 million above our internal targets and a 44% increase in tangible book value from pre-merger levels. Turning to our forward outlook, we believe that we are well positioned for continued success over coming quarters, as can be seen in our growth strategies and outlook on Slides 15 and 16. Although, we fallen short of our loan growth expectations thus far, given the continued momentum in our loan originations, we remain optimistic in our ability to grow the loan portfolio this year. We expect loan balances to increase by low to mid single-digits on an annualized basis for the second quarter of 2019. Long term, we target mid to high single-digit growth, given the investments we've made in talent, our core operating markets in our comprehensive product offerings. Excluding the impact of purchase accounting and loan prepayment activity, we expect net interest margin to be slightly down over the near term, driven by lag in deposit pricing pressures. Given [ph] no further Fed actions, this impact will likely wane over the coming quarters, but still poses a risk to the net interest margin. As stated earlier, our near-term credit outlook is stable. We expect fee income to rebound and be in the range of $29 million to $31 million over the next quarter, as deposit service charges, bank card interchange and mortgage revenue seasonally increase. Of note, there will be the decline in interchange income over the back half of 2019 due to the lower rates required by Durbin. With respect to expenses, we continuously focus on efficiency even while making strategic investments to support the long-term success of our business. We expect expenses to slight – to increase slightly to a range of $77 million to $79 million and anticipate an efficiency ratio in the 50% to 52% range for the next quarter. Our strong capital levels and earnings consistency provide flexibility for internal capital deployment strategies, while still retaining capital sufficient to support potential M&A activity. In addition to the common dividend increase and share buyback actions discussed in the prior quarter, we are interested in strategic acquisitions of fee-based businesses, particularly in wealth and capital markets. All bank deals [ph] that meet our enterprise growth goals to either strategically fit into our current market footprint or other adjacent markets remain attractive. Overall, the Company remains well positioned to grow organically and to take advantage of our strong capital position by deploying through other growth opportunities that meet our objectives. This concludes the prepared comments for the call. We'll now open up the call for questions.
Operator: Thank you. We will now begin the question and answer session. [Operator Instructions] And our first questioner will be Scott Siefers with Sandler O'Neill. Please go ahead.
Scott Siefers: Good morning guys. How's everyone is doing?
Archie Brown: Good morning Scott.
Scott Siefers: I guess , the first – the first question I wanted to ask Archie was just on loan growth. So we – we were sort of in a position, where average balances were flat to down toward the end of last year now up – up just slightly, it looks like a bit more acceleration in the first quarter. But just curious if you can provide a little more color on sort of visibility to that acceleration? In other words, anything that would suggest prepayments begin to subside. And then what's your best guess on sort of how long it takes to bridge the gap between sort of low to mid single-digit expectation here in the near term and then the longer-term mid to high single-digit aspiration?
Archie Brown: Yes. Scott, thanks. Just – a little more color, we talked about our – our commitments continuing to move higher each quarter, and they grew little over 8% in the last quarter from the prior quarter. And as I was looking back over it on the commercial banking side, C&I side, our commitments were up about 30% over Q4, our ICRE commitments were up – the new commitments were up 50% over the prior quarter. So we're seeing some – some pretty good overall activity. Q1 on the C&I side, we did have some several of our large clients have some revolver pay downs that we would expect to start withdrawing back up for the rest of the year and we'll continue to see – we believe origination activity that momentum will move up. On the ICRE side really having record level commitments at this point. And we think Q1 was – we think Q2 will continue to be along that trend line. So we believe really for us it's starting – it's – its watching the overall payoff side, especially related to the construction book and looking to see that it would wane over some time. We think that starts to happen this – this quarter and into the balance of the year. And as that happens, we believe we'll start to see stronger growth. We are seeing a little bit more of this – this quarter and then as we get in the back half of – with the momentum in our originations and a little slowdown in payoffs, we think that will move more to the mid single-digits.
Scott Siefers: Okay. Perfect. That's good color. Thank you. And then, Jamie, just wanted to ask really quickly, as – as you look at the core margin expected little more pressure here in the second quarter. Just wondering if you could talk about the puts and takes, is that primarily coming – going to come from pressure on deposit cost that – that you sort of articulated during your comments or are loan fee is a factor. Just curious for the – the overall things that you're thinking about as you do the outlook?
Jamie Anderson: Yes. The primary driver that is absolutely on the funding side. We saw from the – in the third quarter to the fourth quarter, fourth quarter to the first quarter about 9 basis point, 10 basis points of deposit cost increases and we – and we expect that to come down, but we're still seeing pressure on the deposit side, and – but we think it's about half of that. So deposit costs going up 4 basis points or 5 basis points, and that's – that's really the driver of that – of the entire pressure on the margin there.
Scott Siefers: Perfect. All right.
Jamie Anderson: And we're really seeing that, Scott. I would say, we're really seeing that on the – in that – in the areas of the highly rate sensitive accounts, we're talking money market, CDs and public funds.
Scott Siefers: Yes. Okay. That's terrific. Thank you very much guys.
Operator: And our next questioner today will be Nathan Race with Piper Jaffray. Please go ahead.
Nathan Race: Hey guys good morning. Coming back to the discussion on the core – core margin going forward. Just curious, within that context where the weighted average rate on new loan production was in the quarter relative to the portfolio yield around 5.37% [ph]. Just trying to get a sense of with the Fed on hold, do kind of loan yields kind of stagnate around their current levels going forward?
Jamie Anderson: Yes. So the one thing we did look at, when you look at – at newer loan yields versus what we are, the roll-off yield that differential is about 20 basis points to 30 basis points positive. But the – I would say, given the factor of the like gross loan yield with purchase accounting, the – the new loan yields it's about a – that's about a push given based on the – what we – is our [ph] new rate going on versus the existing portfolio rate.
Nathan Race: Okay. Got it. That's helpful. So I guess, and kind of thinking about the core NIM trajectory in the back half of the year, just given the positive differential on loans coming on and so forth, should we expect some margin stability with maybe some moderation deposit pricing pressures with the –
Jamie Anderson: Correct. Yes. Correct. I would say – so I think we have one or two quarters here where we have the catch up for the lag in deposits, we'll definitely see that I think in the second quarter. We'll have to look at the – at the market and the competitive pressures on deposits in the third quarter. But we see that – we see that more stabilizing in the back half of the year, for sure.
Nathan Race: Okay. Got it. That's helpful. I appreciate that. Thanks, Jamie. And then if I could just ask one more on the back – I'm sorry, on the franchise relationship that was charged off in the quarter. I'm just curious if anything has changed in terms of your review process and so forth within that Group. Just curious if there's any notable lessons to be learned, to be applied within this Group going forward?
Archie Brown: Yes. Nathan, this is Archie. Yes, as you – as you can imagine, we have spent some time evaluating that credit and what happened and could we do something different in the future. And my – my best summary of that is, this was a longer-term borrower that we had a good relationship for more than 5 years. And I think sometimes you can get comfortable in a relationship like that, and if you give the benefit of the doubt little longer than you should. And I think when you're doing enterprise value lending, which is really what we do in the franchise business when – when we start to see signs of stress, we've got to be acting on it immediately and – and not – not relying so much on – on the – the longer-term confidence of that relationship. So I think the lesson there is, we need to act quicker when we see some weakness occurring.
Nathan Race: Understood. I appreciate all the color. Thank you.
Operator: And our next questioner today will be John Armstrong with RBC Capital Markets. Please go ahead.
John Armstrong: Thanks. Good morning guys. Question on the provision. In your outlook, you talk about a stable credit outlook, and I just look back through the model and is the message provision goes back to the type of level maybe we've seen over the last four quarters, five quarters, somewhere in that range?
Jamie Anderson: Yes. John, its Jaime. So that would – yes, provision would go back down to those levels, you saw pre-first quarter, so ex-the $10 million obviously. So yes, so in that, essentially covering – covering charge-offs and 80 basis points to 100 basis points of the – of any growth.
John Armstrong: Okay. That helps. Thank you for that. And then Slide 7 on the margin, I know this for you, Jamie, it's not an easy question to answer, but you've talked about the core margin, you have the purchase accounting accretion and loan fees, how do you want us to think about that? I mean, I can see averages for it?
Jamie Anderson: Yes. So I mean if you look on slide 7 that we have where we break the margin out our core margin really fourth quarter to the first quarter was relative what we consider our core margin was relatively flat. So kind of just the pure spread if you look at the loan fee portion, the contribution for that it can be volatile. So we got in the fourth quarter of 18 we got a fairly significant prepayment fee and that boosted the margin a little bit in the fourth quarter it can be volatile. So that's and it came down to one of its lowest levels in the - that we've had over the last well the lowest level that we've had in the last five quarters in the first quarter of 19 it only contributed 11 basis points. So that's going to bounce around a little bit but typically that's going to average in that 13-14 basis point contribution level and then in terms of purchase accounting we - the model would dictate purchase accounting is 20 basis points in the second quarter and then that that goes down by a basis point to 2 basis points each quarter going forward. 
John Armstrong: Okay. Good. That's very helpful. And then one quick follow-up, Archie for you on Scott's initial question. You talked about the 8% increase in origination activity, what would you attribute it to. Is it – is it you're hiring new teams, is it the environment, is it change in approach. Can you put your finger on that for us?
Archie Brown: Yes. John, I think if you – if you go back to post merger, we've had – we were still really replacing some bankers in some of our markets and adding bankers in markets, and I think they're just getting in place and we're starting to see some momentum. We made a few of the leadership changes and shifts in the back half of the year as well. So all that I think is just starting to take hold, and I believe, we continue to build momentum.
John Armstrong: Thanks a lot guys.
Operator: [Operator Instructions] Our next questioner will be Chris McGratty with KBW. Please go ahead.
Chris McGratty: Hey, good morning. Archie, maybe a question on capital. With loan growth kind of treading water for the past few quarters, but your ROE is pretty high, you guys are building capital or rebuilding that pretty quickly. In terms of the buyback, is it a certain level in the stock that's preventing you from doing it or maybe it's just – you'll start? Or is it kind of more optimism that you might be closer to something either inorganic on the fee side or the bank side? Thanks.
Archie Brown: Chris, I think part of it was timing in the first quarter. If you think about at one point, the stock rebounded nicely and got higher and it's the point that it did it was probably little higher than we really wanted to go into the market. And then as we got later in the quarter, and the stock started to come back down, we were – we were all in a – in a blackout situation, we – we couldn't really do that much of in terms of take actions. So it's more of a timing thing at the point. We have some view about where we think we would be in the market and it probably does depend mostly on where that price is would dictate when we come in.
Chris McGratty: Okay. But – but as we stand today, kind of, you got the credit issue kind of behind you, would this be a level kind of either you have pulled back kind of the high 20 [ph] to the kind of mid, is this a level where is it reasonable to assume that you would consider picking away at it or is it have to be kind of more in a market where the – the kind of the banks rollover again like they did in the fourth quarter?
Archie Brown: Kind of where we are maybe on the higher side, but it's still probably in the range of something we would consider doing. We get back to where we were couple of months ago. We probably would – would then start to get too [ph] high again. And then, we would balance that with what else are we evaluating and looking at, again, we have – we do have – we outlined here, our desire to try to make some acquisitions and we continue to work on that. I don't know when – when that may occur yet hopefully this year, but we will balance that. But I would tell you we're – we're kind of on the high end of the range, we would consider doing something around the buyback side.
Chris McGratty: Okay. That's helpful. And on the kind of the deal front, I saw you included the comment about fees, fee income, wealth management and you talked about that last quarter. On the bank side, now that you've gotten the scale that you need that beyond $10 billion. Is there a – is there a change at all in how you're thinking about target. Could you consider something small because you don't need $10 billion [ph] to get through that inefficiency through $10 billion [ph] are there – new markets that you need to get into or deepen existing markets. Any – any help on the bank side, would be great?
Archie Brown: Sure. I think, so we continue to say if we can find our banking company that we think really strengthens our market share in one of our metros, that's probably objective number one. But I would say, we would consider smaller deals if they add some sort of strategic value in a small market somewhere or they've got some niche. I would also say that we have been thinking more about bank acquisition and whereas before we probably had been more focused on end market, I think we are evaluating, does it make sense to consider more adjacent market as well. And I think we probably would have more interest to look at some banking companies in adjacent markets that we think are the right ones. So we're probably broadening that a little bit from – from where we were a year ago. And seeing maybe, there are opportunities like that.
Chris McGratty: Okay. That's helpful. And then, Jamie, one quick one on you – for you. Expectations for deposit growth. Maybe kind of the comment on, what you're trying to do with the investment portfolio, some of your peers are lengthening duration, you guys kind of really put too much growth in the securities book, but any kind of thoughts on securities management and duration risk? That'd be great.
Jamie Anderson: Yes. Obviously, it depends on timing and magnitude of loan growth going forward and the – and how the – the competitive nature around the funding side. But typically, I think going forward here, you'll see the securities portfolio flat to potentially – flat to potentially down. And I don't – I don't see us necessarily doing anything, any major shift in the duration and extending that out. But I think balance wise, I think you would see that flat to potentially down.
Chris McGratty: Awesome, thank you very much.
Operator: And this will conclude our question-and-answer session. I would now like to turn the conference back over to Archie Brown for any closing remarks. 
Archie Brown: Thank You, William. We really appreciate you guys being on the call today. We are again overall pleased with our results and we look forward to what we what we do this quarter. Thank you for your interest. Have a good day.
Operator: And the conference is now concluded. Thank you all for attending today's presentation and you may now disconnect your lines.